Operator: Good day everyone and welcome to the First Merchants Corporation Third Quarter 2015 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation there will be an opportunity to ask questions. [Operator Instructions] We will be using user-controlled slides for our webcast today. Slides may be viewed by following the URL instructions noted in the First Merchants news release dated Thursday, October 22, 2015 or by visiting the First Merchants Corporation shareholder relations website and clicking on the webcast URL hyperlink. This presentation contains forward looking statements based on our current expectations reflecting various estimates and assumptions. These forward-looking statements include, but are not limited to statements relating to our business outlook and the expected timing and benefits of the propose merger between First Merchants Corporation, Americana Bancorp. These forward-looking statements are subject to significant risk and uncertainties that may cause results to differ materially from the set forth in this presentation examples of which are included in the return presentation materials filed with the Securities and Exchange Commission in connection with this call. Please refer to those materials for more detailed discussion of the applicable risks. Please also note that today's event is being recorded. I’d now like to turn the conference call over to Mr. Michael C. Rechin, President and CEO. Sir, please go ahead.
Michael Rechin: Thank you, Jamie. And welcome to all of those that have chose to join us today. Welcome to our earnings conference call and webcast for the third quarter ending September 30, 2015. Joining me are Mark Hardwick, our Chief Financial Officer; and John Martin, our Chief Credit Officer. The company released our earnings in a press release at approximately 10 o'clock this morning Eastern time and remarks and presentations as they speaks to material included in that release. The directions that point to the webcast were also contained at the back end and my comments will start on Page 5 on a Slide Titled Third Quarter 2015 highlights. First Merchants' reported earnings of $17.1 million of net income a 5.9% increase over the third quarter of 2014's $16.1 million. The current period earnings equate to $0.45 a share. And on an annualized -- on a year-to-date basis a $1.35, which is 9% over the year-to-date 2014 level of $1.24 per share. Some of the other performance characteristics are listed at the top of the page are referenced to the $4.26 billion and net loans are just under 15% increase over 9/30 of '14 would be inclusive of the Community Bank acquisition closed in November of last year and that Cooper Bank acquisition closed earlier this year. Mark and John are going to discuss with you several aspects of the result, but they would include the loan volume cited above in combination with a strong margin that are combined to provide a 3% net interest income growth and as referenced, John will cover the asset quality, which continues to work favorably in conjunction with our expectations. The bottom of the page covers a couple of what we’ve shared in prior calls as important opportunities for us and in July of this year, following industry trends and consistent with our customer preferences closed on an investment and an upgrade with a technology change partner that brings our offerings to both consumer and commercial customers and in line with how they like to conduct their banking. I'll reference that a little bit latter on as it relates to what I feel like we can achieve in terms of growth in customer count and in revenue for the company. Cooper State Bank they joined us a couple months back legally will integrate and rebrand through this weekend open on Monday the 28 of October as First Merchants Bank. And so that would include the six retail banking centers as part of Cooper State Bank and our existing Columbus, Ohio operation known as commerce and so we’re excited about their change and I think our clients are too. And then lastly Ameriana Bank, which we announced on June 29, just ahead of last quarter’s close is seemingly on track for all that needs to get done to achieve our fourth quarter closing. We’re working through the process that would have that meet all of our expectations and all the other actions that need to take place relative to shareholder actions and regulatory approvals to accomplish that closing. So at this point, I was going to turn the call over to Mark who will go little bit deeper into the third quarter’s results.
Mark Hardwick: Thanks Mike. I’m starting my comments on Slide 7 where our total assets reached $6.2 billion an increase of 10.7% over the third quarter of last year and 6.3% over year end 2014. The growth over the third quarter of last year includes organic growth of $187 million and the addition of Community Bank totaling $281 million in November of '14 and Cooper State Bank, totaling $142 million in April of '15 offset by the sale of insurance of First Merchants insurance group in June of 2015. Total loans on Line 3 increased 10.1%, since yearend and year-over-year by 14.6% or $549 million. Since September 30, 2014, organic loan growth totaled $293 million or 7.8%. Community Bank accounted for $145 million and Cooper State Bank accounted for $111 million. The allowance on Line 4 in total dollars has remain very steady declining as a percentage of non-performing loans to 1.7%, I’m sorry -- non purchased loans to 1.7% from 2.04% at September 30, 2014. However, our decline in total non-performing loans and especially non-covered, non-performers provide sound justification for all AOL levels and actually if you go all the way back to 12/31 of 2012, our allowance was just $69 million. So we feel like it's at a very healthy level given the state of the economy. The composition of our $4.3 billion loan portfolio on Slide 8 continues to be reflective of commercial bank and it continues to produce strong loan yields. The portfolio yield for the third quarter totaled 4.41% compared to a third quarter '14 total of 4.62%. On Slide 9, our $1.2 billion bond portfolio continues to perform well producing higher than average yields with a moderately longer duration than our peer group. Our 3.97% yield is actually 10 basis points better than one year ago and continues to compare favorably to peer averages of approximately 2.53%. Our duration is just five months longer than peer averages and the average life is right at five years. The net unrealized gain in the portfolio totals $40 million up from $34 million 12 months ago. Maturities for the remainder of 2015 total $44 million with the yield of 3.54% and in '16, we have a $187 million maturing with a yield of 3.58% and in '17 we have $125 million of maturities with the yield of 3.23%, all of which we think we can replace with a fairly consistent -- at a fairly consistent level as to what is maturing. The strength of investment yields has helped us maintain our net interest margin. The variable nature of our loan portfolio was $1.9 billion of assets re-pricing daily allows us to take on a little more interest rate risk than our peer banks and we feel like the return is worth the risk. In an effort to protect tangible capital, tangible common equity in a raising rate environment 50% of the portfolio is categorized as held to maturity. Now on Slide 10, our non maturity deposits on line one represents 77% of total deposits and grew by $476 million or 14.7% over the third quarter of 2014. Of the increase, $206 million or 6.4% is a result of organic growth and the remainder is a result of acquisition. Hybrid capital on Line 6 declined by $5 million this quarter as we leveraged an opportunity to retire -- to retire a portion of our trust preferred securities as trust preferred debt obligation at $0.75 on the dollar and I’ll talk about that little bit more in the income statement. At the bottom of the slide on Line 9, tangible common book value per share increased by $0.94 or increased by $0.94 or 6.9% over the past nine months. While not highlighted on the page, tangible common book value per share increased by $1.6 over the past 12 months and includes all acquisition and divesture activity and $0.38 of dividend payments. As I previously mentioned, the mix of our deposits on Slide 11 continues to improve and our total deposit expense is just 40 basis points. Our regulatory capital ratio on Slide 12 are above OCC and Federal Reserve definition is well capitalized under Basel III and above all of our internal targets. Due to the cash purchase of Cooper State Bank, strong organic loan growth, the implementation of Basel III and the $5 million redemption of trust preferred debt, our total risk based capital level declined from 15.34% year end to 14.85% as of September 30, 2015. The corporation’s net interest margin on Slide 13 totaled 3.85% for the quarter and when adjusted for fair value accretion have $2 million totaled 3.71%. Net interest income on a fully taxable equivalent basis totaled $53.3 million during the quarter and continues to be the driver of our operating income. We're pleased that our core margin is the same 3.71% as we reported 12 months ago and so we saw a slight decline and then a rebound in our number over the last four quarters. Our plan for the rest of 2015 and '16 calls for growth and net interest income driven by growth in earnings assets, some modest declines and net interest margin. As you already know, despite our longer than peer duration in the bond portfolio, the bank as a whole remains assets sensitive and just for reference, a 100 basis point move in the fed funds rate adds approximately 10 basis points to our net interest margin or just under $6 million in net interest income on an annualized basis. Total non interest income on Slide 14 reached $16.9 million. This category includes several extraordinary events, especially if you look at the past three quarter with the gain on sale of the First Merchants Insurance Group highlighted in the second quarter of 2015 and the absence of insurance commission income highlighted on Line 3. And this is where you can see and if you look at Line 10, other income is where we recorded the $1,250,000 gain on the extinguishment of our trust preferred debt and which I discussed earlier when looking at the liability side of the balance sheet and again we were able to buy that at $0.75 on the dollar. Noninterest expense on Slide 15 totaled $43.6 million for the quarter and included $1.4 million of non core operating expenses that are detailed on the next page. On Slide 16, the extraordinary expenses are highlighted in the middle three columns. They’re highlighted in the middle three columns. As we fully integrated our Cooper acquisition this weekend we will be reducing expense levels by approximately $500,000 per quarter hoping us realize the optimal value and the acquisition and then online banking expenses have already returned to normal as we completed this key conversation in mid July. The middle column Ameriana will close -- the bank acquisition will close at the end of the year and will be integrated in mid March of 2016. Our expenses for the fourth quarter should total approximately $42.5 million prior to any onetime Ameriana acquisition expenses as we close that transaction at the end of the year. Now on Slide 17, our tax rate returned to normal. On Line 7 and net income on Line 9 totaled $17.1 million for the quarter or $0.45 per share and then if you look at the next slide you can see just it's just the continuation of a strong run rate over the last seven quarters. And we’re pleased with our performance in all of these results and we feel like they also include a lot of work on our end to really position the franchise to deliver results in 2016. John Martin will now discuss our progressing asset quality trends.
John Martin: All right. Thanks, Mark, and good afternoon. I’ll be updating the trends in the loan portfolio starting on Slide 12, review the asset quality summary and reconciliation discuss their value and allowance will further and then close with few thought on the portfolio. So turning to Slide 20 for the third quarter, the loan portfolio grew by roughly $84 million or 2% for the linked quarter, 8% annualized on the link quarter and 10% year-to-date annualized. The growth in the portfolio was driven by increases in construction development lending on Line 2, public finance on Line 9, home equity loans on line 8 and commercial industrial lending on Line 1 and we saw construction lines continued to drawn again this quarter and commitments level out while on public finance base we adjusted our return targets, which somewhat slowed the growth in municipal and non-profit lending from a prior quarter but nonetheless resulted in solid growth with a more attractive risk adjusted return. So turning to asset quality on Slide 21, we had another positive quarter of asset quality improvement. Total NPAs and 90 day pass due declined $5.3 million or roughly 9%. Non accrual loans came down $5.1 million shown on Line 1 and other real estate on line 2, came down $4.4 million after several quarters of holding our $19 million and we continued to make progress working through some of the more challenged portfolios associated with recent acquisitions while continuing to broaden the overall mix of assets in the portfolio. Dropping down to Line 7 and 8 classified assets on Line 7 were down 8% in the linked quarter with overall criticized assets on Line 8 declining $10 million or 4.3%. The economy continues to help this number as some borrower see better results in addition to strategic exits of other relationships were long term improvement is best handled by their capital sources. Looking forward, I see the trend flattening in the near term as we add the Ameriana portfolio. Additionally we're seeing some modest stress coming out of the agricultural portfolio as most farmers continue to remain well capitalized and fairly well positioned for lower commodity prices. Turing to Slide 22, as we or as was the case in the prior quarter, this slide reconciles the migration of asset quality and helps to explains how improvements in asset quality are accomplished. I've highlighted the year-over-year migration decline of 26.5% as a way of showing our ability to -- ability and the rate of digestion of asset quality issues of recent acquisitions and our continued focus on managing the portfolio as we grow the balance sheet. If you direct your attention to the far rate column labeled Q3 2015 and beginning on Line 1, we started the quarter with roughly $55.5 million in non-performing assets in 90 delinquent loans. New non-accrual loans this quarter were down $3.9 million continuing a trend of fewer new non-accrual loans, while on Lines 3, 4 and 5 will result $6.8 million of non-accrual loans and virtually no OREO and had gross charge offs of roughly $2.1 million respectively. And then on Line 7 through 9, we had $3.4 million in OREO sales and $1.1 million in write-downs for decrease in OREO $4.4 million on line 10. And while 90-day delinquent loans and restructured loans on Line 11 and 12 were up, overall NPA’s and 90-day delinquent loans were down $5.3 million on Line 13 to $53.2 million. So once again overall NPAs and 90 day delinquent loans were down 9%. Turning to Slide 23, this slide highlights where we stand with respect to the allowance and the remaining credit marks. While in the far right column is the most recent quarter's allowance and fair value position. The allowance on Line 1 was mostly flat for the quarter at $62.9 million up roughly $300 from the prior quarter with net recoveries of $300,000 and no provision expense. I would expect provision expense to closely follow net charge-offs in the near term with some marginal provision associated for portfolio growth were running roughly 10 basis points and 15 basis points of net charge-offs on an annualized basis which would equate to roughly $1 million and a quarterly provision barring events in either direction. Dropping down to Line 6, the allowance coverage to non-accrual loans improved driven by the improvement in asset quality mentioned earlier increased from 165.9% to 192.8%, which represents a recent historical high. As a comparative measure on Line 7, the allowance to non-purchased loans was 1.7% and then on Line 9, the allowance plus fair value adjustments to loans and fair value adjustments is 2.31% and I think both of these numbers continue to highlight the relative strength or credit leverage remaining to cover charge-offs from both the purchased and core portfolios. So a couple of thoughts on Slide 24 as I conclude my prepared remarks and turn the call over to Mike Rechin loan activity in the quarter across the commercial spectrum was good and our loan pipeline remained stable. This is allowing for continued net asset growth. We continue to focus on risk adjusted returns as we look at new opportunities and continue to grow the portfolio. Asset quality trends continue to improve providing sound allowance coverage without current quarter provision. And then we continue to have credit leverage with the allowance and marked coverage exceeding 2.3%. So thanks for your attention and I want to turn the call back over to Mike Rechin for his comments.
Michael Rechin: Thanks John. We’re going to take questions here in a few movements. I want to cover some of the material on Page 26 and couple of these topics I highlighted right at the front end of the call. Specifically our third quarter completion of extending our relationship with our core processor we had been using a really dependable deposit and loan platform. We extended our work with that vendor to add their capabilities to our mobile and online banking. Product offerings and we've been pleased with it. It's roughly 90 days old. I think our clients are adjusting to the new technology very well. We're adjusting to servicing that transition for our clients. We're really pleased with the decision we made. We like our near term ROI. We like our loan term ROI and following a path that our clients have clearly led for the way they would like to use our company. Referenced on the last call and I'll repeat it again, our primary focus is on building share in our existing franchise through our existing lines of business and what is a very comparative environment and so the bullet point beneath there talking about organic growth reflects exactly that energized team effort out of our company. We’re pleased. We talk about loans a lot and I'll reference deposits and fees, but in the third quarter we had 2% raw loan growth all of which would have been organic absent any acquisition closings in that time period. So we feel good about it. I would affirm for you that kind 6% to 8% organic ability to grow in our marketplace and while the last couple quarters have been on the high end of that, we still see the market place as competitive, but would push to exceed, I am sorry, to accomplish at least that level. When I look at the pipeline it gives me reason to affirm it one more time. Our closed loans in the quarter were $340 million. it was beneath our June 30 quarter and yet our second strongest quarter over the last five and pretty well balanced. It was actually our highest quarter in terms of retail where our consumer loan closings, which were pleased by our depository activity of the mix that were very consistent with our plan. The consumer lending picking up as I referenced and the overall quarter pretty strong, so that’s close activity, when you look forward at near term pipeline pretty strong story as well. Our pipeline overall $425 million not as strong as it was by about 5% from that which we took into the third quarter and yet its only behind the June 30 quarter in terms of strength going back five quarter. So when I talk about that range, I feel like we have the customer connectivity that will allow our left hand side of the balance sheet through loans to continue to grow. Mortgage, real strong spot for us through 2015, continues even into the fourth quarter. I referenced the overall backlog being modestly behind the June 30 level on a consolidated basis. The mortgage level is really at its annual high and retail which had a strong third quarter as I noted, takes a pretty strong backlog in as well. So commercial a little bit softer. The whole company really doing well. It gives me confidence that when I think about our primary mission of winning market share in this marketplace that we have the ingredients and the talent level to do it. Couple of highlights on the bottom and then we’ll open up for questions. I mentioned the rebranding all of the data loading that will take place and data transition for the Cooper customers joining us. We’ve closed that acquisition roughly six months ago and so we’ve had extensive employee training and extensive client communication that should lead to a really successful integration come the first next week. At this point relative to Ameriana, we talked about the legal closing, behind the ingredients necessary for a legal closing prior to yearend is just a lot of planning of how you take the best of what Ameriana did in their marketplace, coupled with what Community Bank did independently prior to joining us year ago and you're mixing what we’ve always done in the greater Indianapolis marketplace which is dense and rich target rich environment for us. We’re coordinating our resources and coverage expectations not only in a greater Indianapolis marketplace, but in the [Monty] [ph] marketplace and New Castle where we also have some common footprint. So I like to way that’s coming together, some really clear roles and responsibilities emerging. I notice there was a press release that came out of the leadership Jerry Gas and at Ameriana today relative to their announcement they have a definitive agreement to sell their insurance company, which is parallel and consistent with the way we’ve moved out of the insurance business earlier this year. The banking center optimization continues I referenced Community Bank. I really don’t need to discuss it any more. At its 12-month market retail reconfiguring of their banking centers is complete and that takes our attention to the Ameriana opportunity where will go roughly from 13 of their banking centers to seven. By this time, I am sorry by mid spring of 2016 all of those combinations are planned and we're working through whether its excess real estate or other changes we need to make a tendon to those changes. The banking center optimization and the bullet point extents to our own legacy banking centers and so we have four existing First Merchants combinations planned that will take place before yearend 2015 that should provide some of the synergies as part of an overall desire to get even more efficient. The Cooper stores while they’ll be rebranded have no redundancy and so I think consistent with prior discussions we'll be retaining all of the retail locations of Cooper as they join First Merchants. So those are my prepared comments Jamey and we’re available for questions should there be any.
Operator: [Operator Instructions].And our first question comes from Scott Siefers from Sandler O’Neill. Please go ahead with your question.
Scott Siefers: Good afternoon, everybody.
Michael Rechin: Good afternoon, Scott.
Scott Siefers: Mike you gave a lot of good color around your thoughts on loan growth, which I appreciate. Wonder if you could spend just a moment or so talking about the competitive dynamic as you see things are getting -- are things getting more or less intense or are they kind of level? And then John I think you in your prepared remarks had noted at one point you guys did make some adjustments to your return targets. I wonder if you could expand upon -- I just want to make sure I heard that correctly and then two, just to begin expand upon the rational and back on to that decision.
Michael Rechin: Yes Scott. Its Mike, I’ll cover my portion of the question and let John speak to the second half. As it relates to the marketplace and our expected levels, the markets -- I don’t think any more comparative here in the fourth quarter of the year than it was earlier in the year. If anything the number of opportunities that go in the pipeline might not slow through as concretely as they have in times past, but we really haven’t had to compromise much or will not compromise much on either structure of price and I think the net interest margin reflects that. But it's an actively -- that’s a great time to be a customer evaluating bank idea, that’s why I'll characterize it and so we're trying to match that expectation on the part of business owning decision makers and consumers with answers and solutions that meet their expectations but it's difficult out there.
Scott Siefers: Okay, thanks.
John Martin: Scott, this is John.
Scott Siefers: Hi, John.
John Martin: Hi, how are you? The target or the risk target that I was referring to, excuse me, return target that I was referring to was a model that we use for any of the municipal financing opportunities that we look at. We set that based on some expected target and adjust that upwards and downwards depending on how opportunistic we wish to be on any bad situation, but that’s just a model that we use.
Scott Siefers: Okay, Good, I think I miss heard, just I appreciate that clarification. All right, thanks guys.
Michael Rechin: Thanks Scott.
Operator: Our next question comes from Damon DelMonte from KBW. Please go ahead with your question.
Damon DelMonte: Hi, good afternoon guys. How are you doing?
Michael Rechin: Good Damon, how are you?
Damon DelMonte: Great, Mike thanks. My first question relates to the margin, could you talk a little bit about the dynamic of quarter-over-quarter as to what led to the higher result this quarter?
Mark Hardwick: Yeah, Damon its Mark Hardwick.
Damon DelMonte: Hi Mark.
Mark Hardwick: Thanks for being on the call. What I say the last quarter should say the second quarter was just kind of a returned to a normalized, average days where in the first quarter we had a decline primarily based on February being a short month and the fact we had between $400,000 and $500,000 a day in commercial income. This quarter it was actually really driven more off an improvement in our fee income and we've through that in detail. I am just trying to make sure that there wasn’t a real significant increase in fee income based on a prepayment of some sort. And the largest dollar amount that we could identify we had about an $80,000 increase in fee income in the months from one large pay down. So it looks relatively stable and improving and as a company we've been focused on making sure that we’re getting fees where appropriate and it seems to be finding its way into the income statement. On a go forward basis, in this rate environment until the Fed decides to make some kind of move, I think we still feel like, it's appropriate to assume that we’re going to have a basis point or two reduction in the core numbers moving forward, but the result show that we’re doing everything we possibly can to sustain strong and improving margin despite the environment that we’re in.
Damon DelMonte: Okay. So the four basis point increase from last quarter to this quarter just I understand that in part had to do with some commercial loan prepayment income, did it also has to do anything with the accretable yield possibly?
Mark Hardwick: No the accretable yield is taken out of the core. So I guess what I am saying we were -- our core number was 3.71% a year ago. We saw a decline and then we rebounded back to 3.71% this quarter. And if you look it's on Slide 13, we were on 3.71% in the third quarter a year ago, 3.69%, 3.61% and then it came back up to 3.65% and that were 3.71% and the only other really item of note, we get a little bit of interest savings from the $5 million pay down of the trust preferred debt and we also have restructured some of our federal home loan bank advances where if we're just finding opportunities to reduce expense.
Damon DelMonte: Got it. Okay and then with regards to fee income and specifically the gain on sales loans could you talk little bit about the mortgage banking activity I’m assuming that to a is driving those numbers just talk a little bit about what you’re seeing this quarter. I think with most other banks we’re seeing decline quarter-over-quarter and gain on sale income so I just wondering what you guys are seeing and what’s driving up for your guys.
Mark Hardwick: Yeah, I don’t think we’ve had much shift in the spread on the sales. It's really just an our flow through has been good I referenced the closed loans and then the quarter we closed 431 loans as a down a little bit from 500 in the prior quarter and we take a nice backlog in dollars into the fourth but it hasn’t really been a gain on sale expansion.
Damon DelMonte: Okay. The lines remained strong so we should see something similar to this quarter, next quarter.
Mark Hardwick: Yes, it is. Fourth quarter is typically slows down for us a fair amount, but at least here at the front end of the quarter it kind of shows the strength that we saw in the second and third quarters for the time being.
Michael Rechin: And some of the improvement if you just you look year-over-year does have to do with the addition of the acquisitions then making sure that we're maximizing Indianapolis to the community acquisition maximizing Columbus through our Cooper State acquisitions.
Mark Hardwick: We’re planning for '16 in all lines of business, but relative to that one, Cooper is relatively underpenetrated from a talent standpoint on mortgage origination. I would probably say the same thing about Ameriana. And so I think we’ll probably have better per store coverage of our retail configuration through mortgage origination to take advantage of whatever the condition of the market proves to be.
Damon DelMonte: Okay. Great and then just my last question on the tax rate, good effective tax rate used to be something in the 27%, 28% range. Is that correct.
Mark Hardwick: Yeah, it would be.
Damon DelMonte: Okay, was there anything unique to this quarter’s tax rate that was little bit different than what we are looking for and I didn’t know if there was something that may have missed.
Mark Hardwick: Not really.
Damon DelMonte: No. Okay.
Mark Hardwick: No, maybe we can talk afterwards, but now -- last quarter was definitely unique but this quarter should represent a return back to normalized levels.
Damon DelMonte: Okay, perfect. That’s all I had guys. Thanks a lot.
Michael Rechin: Thanks Damon.
Operator: Our next question comes from Eric [Swick] [ph] from Stephens. Please go ahead with your question.
Eric: Good afternoon, guys.
Michael Rechin: Good afternoon Eric.
Eric: One more quick question on a margin if I could, it sounds like the guidance for the modest declines and the net interest margin is the core margin, is the safe to assume that the reported margin continue to be little bit more variable especially as you bring on Ameriana and kind of refill the accretion bucket to some extent.
Michael Rechin: Yeah, if you look at Page 13, its been fairly steady the last three quarters, $2.2 million, $2.2 million and 2 million, but yeah we shouldn’t have any spike in those numbers in the fourth quarter from Ameriana as we expect to close that towards the end of the quarter, but as we look -- as you forecast and as we forecast into 2016 we should have some additional accretive yield coming off of that acquisition.
Eric: And then moving to the loan growth I appreciate the comments on the, the segments of the portfolio that drove the growth in the third quarter could you talk a little bit about which markets were the strongest and also kind where you expect the best growth opportunities going forward.
Michael Rechin: Sure, we really have kind of two set of expectation for our core growth markets which are Columbus and Central Ohio, Indianapolis and Northwest Indiana that really high single digit if not close to 10% on an annualized basis and then the remainder of the company our half year business and our monthly business slightly beneath that which reflects the economic dynamics of marketplace and so when you look at the actual results which speak to your question that Indianpolis has been and continues to be year-to-date to include the third quarter where we had the most activity. Most activity most growth.
Eric: Thanks. I appreciate the color.
Michael Rechin: You’re welcome.
Operator: [Operator Instructions] Our next question comes from Brian Martin from FIG Partners. Please go ahead with your question.
Brian Martin: Hey, guys.
Michael Rechin: Good afternoon, Brian.
Brian Martin: In the same market which one you see if you give a little color on the core level of the income in the quarter. I just assume it’s the two kind of non-recurring gains if you will, the securities gains in the gain on the redemption on the hybrid, so $14.5 million maybe is a decent run rate and just the expectations to layer into the deals and half of that.
Michael Rechin: Yeah, I do think that’s the best way to look at it. The only kind of the extraordinary can be really around hit some of our hedging activities I and that shows up and down and other income so that’s variable depends we will do anywhere from one hedge in a quarter to as many as four, five and the income of those is somewhere between may be 50,000 to a quarter of million so just depends how much activity we have on that front.
Brian Martin: Okay. Perfect and then just as far as the accretable yield benefit from Ameriana, can you give any color on just how we should think about that may be just on an annual basis what you think the ad could be on that piece.
Michael Rechin: Yeah I think we announced that were, that we are going to have marks of around $11 million and then I think if you look at out slides and especially in John Martin section where you just, where we identify those marks Slide 23 and you can see that we still have almost $38 million remaining of our prior marks from prior transactions and then we’ve had other 49% either find its way into the income statement or offsetting losses and about two thirds of ad you can save the 33% is the coming through in terms of income. I don’t feel like we’re aggressive in those marks that were, we feel like we are taking a current conservative stance that has not -- we're not putting overloading the fair value marks to produce future income. And so in this case we will have $11 million. It will come in overtime and if you assume that over a three year period we’re going to use maybe half of it and two thirds get used for income and third to offset losses, I mean that is a reasonable way to model it but beyond that I can’t give you a great answer to what to expect for next year.
Brian Martin: Okay. All right that's helpful and then maybe just back to John for a minute just on the I think you mentioned the some potential weakness if you will in the Ag portfolio just kind of what you are seeing there obviously you guys have little more exposure but just kind of what you are seeing with regard to the Ag would be helpful?
John Martin: Yes hey Brian. Really what I’m seeing is kind of hit or miss depending on the farmer but in Indiana right now, we are right in the middle of harvest and we are getting kind of mixed results back. Some of the farmers depending on how they hedged are fine and doing their production is fine, others because of our earlier wetter spring are seeing somewhat weaker results and depending on their crop insurance how that is going to actually play out. So it’s that component of it and some of those are getting criticized depending on their current year results and how liquid they are, that is the reference I am making back to the criticizing classified numbers and why there might be a little bit of impact from that. Again there is roughly $91 million in Ag production loans, we have $150 million, $160 million in land loans and that -- that is being impacted by commodity prices as well as the prices come down, the economic value of the land has the tendency to be impacted. So more than anything we’re just kind of looking at that portfolio and continue to evaluate it through the fall and look to the future. The lot of the farmers are in great shape through years of really strong crop prices recent years of strong crop prices and are well positioned. So not a large concern there but is just something that I have – we are watching as we head into the fall and into the Spring.
Brian Martin: Okay. I appreciate the color. Thanks guys.
John Martin: Thank you very much Brian.
Operator: And ladies and gentlemen, at this time I am showing no additional questions. I would like to turn the conference call back over to Mr. Rechin for any closing remarks.
Michael Rechin: Thanks Jamie. I appreciate the participation, I appreciate the interest in the questions. I thought we had a pretty solid quarter. We’re pleased with the momentum we take into the end of the year and as we are really pretty far through our 2016 planning. I hope our plan is easy to digest. We look forward to talking about our fourth quarter results towards the end of January. We will talk you then. Thank you.
Operator: Ladies and gentlemen, that does conclude today’s conference call. We do thank you for attending. You may now disconnect your telephone lines.